Operator: Ladies and gentlemen, thank you for standing by and welcome to the Vasta Platform Third Quarter ‘21 Conference Call. [Operator Instructions] I would now like to hand the conference over to your speaker today, Mr. Bruno Giardino. Thank you. Please go ahead.
Bruno Giardino: Good evening, everyone and thank you for joining me in this conference call to discuss Vasta Platform’s third quarter 2021 results. With me on the call today, we have Mario Ghio, Vasta’s CEO; and Guilherme Melega, Vasta’s COO. During today’s presentation, our executives will make forward-looking statements. Forward-looking statements generally relate to future events or future financial or operating performance and involve known and unknown risks, uncertainties and other factors that may cause our actual results to differ materially from those contemplated by these forward-looking statements. Forward-looking statements in this presentation include but are not limited to, statements related to our business and financial performance, expectations for future periods, our expectations regarding our strategic product initiatives at the – and their related benefits and our expectations regarding the market. Forward-looking statements are based on our management’s beliefs and assumptions and on information currently available to our management. These risks include those set forth in the press release that we issued today as well as those more fully described in our filings with the Securities and Exchange Commission. The forward-looking statements in this presentation are based on the information available to us as of the date hereof. You should not rely on them as predictions of the future events, and we disclaim any obligation to update any forward-looking statements, except as required by law. In addition, management may reference non-IFRS financial measures on this call. The non-IFRS financial measures are not intended to be considered in isolation or as a substitute for results prepared in accordance with IFRS. Let me now give the call over to Ghio to make his opening statements.
Mario Ghio: Thank you, Bruno. Thank you very much for participating in our earnings release, and I would like to start on Slide #3 with some highlights of the quarter. The third quarter was the last one of the 2021 commercial cycle, one of the most, if not, the most challenging period in our history. As we commented in the previous calls, the second wave of COVID came up right at the back-to-school period, hitting the student enrollment at our partner schools and also the sales of the pedagogical materials for the 2021 school year. Nevertheless, Vasta concluded the 2021 commercial cycle with a 7% subscription revenue growth over the same period of the last year and 11% if we exclude PAR, our hybrid subscription product based on textbooks. Our total net revenue dropped 12% as the pandemic effect on the textbook business was even more severe, leading to a strong decline in our non-subscription revenue. Our adjusted EBITDA reached BRL168 million in the 2021 cycle, a 35% drop in comparison with the 2020 cycle, driven by the reduction in the net revenues and higher provision for doubtful accounts, among other factors. Excluding the write-off of editorial costs recorded in the third quarter, our adjusted EBITDA totaled BRL188 million, 27% lower versus the 2021 cycle yielding a margin of 21%. If 2021 was a lost year in terms of financial results, it has been a great year for the expansion of our Plurall platform, the B2B2C services debuted in October with the Plurall My Teacher and the Plurall Adapta recording its first sales. Plurall Store, which offers complementary solutions in partnership with edtechs all over the world, is also live. We had reasons to say, however, that the worst is behind. The preliminary 2022 ACV reached a total of BRL888 million by the end of October showing an organic growth of 20% versus ‘21 subscription revenue, which is still 2 months to go in the commercial campaign. If we include Eleva, the acquisition of Eleva, the preliminary ACV goes up to BRL975 million, showing a growth of 32% year-to-date. Having said that, I will pass the floor to our CFO, Bruno.
Bruno Giardino: Thank you, Ghio. As we did last quarter, we will start by analyzing the performance of our revenue in the cycle, which is now complete. Our total net revenue declined 12% over the 2020 cycle, as you can see on the left. However, when we break this information into subscription and non-subscription, we noticed that our subscription revenue increased 7%, representing 83% of total revenue. Going further into this breakdown, we can see that by excluding PAR, our subscription revenue grew at a double-digit rate, 11%, in spite of all the headwinds already commented. In the chart below, you see that PAR declined 7% in the period, driven by the higher reuse of textbooks, a phenomenon that we observed in the past during recession times. Finally, in the bottom of the chart, non-subscription revenue fell 53%, reflecting not only the weakness in the textbook sales but also our commercial efforts to bring non-subscription clients to our subscription products. Therefore, as you can see in this slide, the pandemic effects have hit our business lines in different ways with the growth in subscription products preserved particularly in the lines that do not involve textbooks, while non-subscription revenue has suffered the most. In the Slide 5, we detail the net revenue performance in the quarter. Net revenue presented a 10% drop when compared with the last quarter, owing to a concentration of deliveries to some brands in the second quarter 2021, while non-subscription revenue declined 13%. We believe that the analysis of the cycle entirely also shown in this chart, offers the appropriate angle to analyze our revenue performance. Moving to Slide 6, let’s comment on our adjusted EBITDA and net profit results. In terms of adjusted EBITDA, Vasta posted a negative BRL29 million result in this quarter due to the revenue decline, to the higher provision for doubtful accounts and enhancement of our administrative structure following the IPO. Additionally, we recorded a BRL20 million write-off in editorial costs, reflecting a review in our textbooks and editorial strategy given the structural changes in the business. Excluding this effect, our adjusted EBITDA was negative BRL9 million. In the 2021 cycle, the adjusted EBITDA totaled BRL168 million basically due to the same factors mentioned before. Excluding the write-off of editorial costs, adjusted EBITDA was BRL188 million, 27% lower year-over-year with a margin of 21%. Our current adjusted net profit for the 2021 cycle was BRL28 million, pressured by the lower operating results. Next, I’ll give more details on Slide 7 on the provisions and our accounts receivables. The higher recognition of provision for doubtful accounts, PDA, in the third quarter and in the 2021 cycle has to do with the challenging business environment of this school year. Since the beginning of the pandemic, our approach to credit issues faced by our school partners has been to extend payment terms instead of granting discounts, which resulted in an aging of our receivable portfolio and higher provision needs. As you can see in the left, the PDA expense represented 3% in the quarter and 3.8% in the cycle over net revenue, well above historical levels. On the other hand, the higher PDA reflects our care with our provisioning standards, which is attested by the average days of receivable following 3 days in the yearly comparison to 85 days, as shown in the right chart. That said I will pass the word back to Mario Ghio.
Mario Ghio: Thank you, Bruno. Moving on to Slide #8, I will comment on the performance of Plurall in this period. In October, we celebrated the debut of our B2B2C platform, which was a great achievement of our Plurall team. Plurall My Teacher, our private classes platform and Plurall Adapta, our adaptive learning platform, recorded their first sales in October. We see a strong mid to long-term potential for the B2B2C services, and this potential could materialize exponentially once the product is better known by our community. As you can see in this slide, we have focused on the dissemination of these products among our partner schools, teachers and students. Plurall Store is also live offering a series of complementary solutions in partnership with many edtechs from all over the world. Moving to Slide #9, let’s comment on our view with Eleva. On October 29, we closed the acquisition of Eleva platform following the antitrust approval without restrictions. This transaction adds not only a sizable and complementary portfolio of our schools – of schools to our platform but also a long-term contract through which Vasta will be the exclusive provider of learning systems to almost all K-12 schools held by Eleva, positioning Vasta to benefit from the consolidation of the fragmented K-12 market. The integration of Eleva is happening as planned. Since the signing, we organized the clean team that planned the integration in every detail, which is basis for a nice and smooth integration. We have already concluded two important steps, which is the definition of the new organizational structure and the integration of editorial and digital content team. Some of our next steps will be excluded – executed as soon as the back-to-school period end. Moving on to Slide #10, we present our M&A track record. We delivered five acquisitions since the IPO, being Eleva, of course, is the biggest one. As a conclusion, our M&A pipeline remains rich and we are engaged in other transactions with our – which are at different stage. With that being said, I will pass the floor to our COO, Guilherme Melega, who will detail our operational results of the period.
Guilherme Melega: Thank you, Ghio. Turning to Slide #11, on October 31, the 2022 preliminary ACV totaled BRL888 million, an organic growth of 20% versus the subscription revenue collected in the 2021 cycle with the commercial campaign still 2 months to go. Excluding paper-based PAR, the organic growth is of 29%. Nearly 100% of our new sales have come from traditional learning systems, complementary solutions or from our new digital textbooks platform offered on a fee per student basis, reflecting our focus on reducing our exposure to the paper-based textbooks channel. With Eleva, the preliminary 2022 ACV totaled BRL974 million, a 32% growth versus our 2021 subscription revenue. We will update 2022 ACV numbers when campaign ends. I will turn back to Ghio.
Mario Ghio: Thank you, Melega. Going to Slide 12, first, neither the return of students would dropped out from our partner schools base in 2021 nor the volume of text books that should have been purchased in a regular environment were considered in our ACV projections. That was a gap of BRL112 million. That could be captured in the upcoming years as represented at the chart to our left. Also, although the volume of enrolled students in 2021 cycle was below its full potential, we retain our clients’ base with long-term contracts, which represents additional growth potential with our acquisition costs should our partner schools base is restored in the upcoming years. By the end of October, our 2022 ACV corresponds to a base of more than 5,000 schools as shown in the chart at the right. Having said that, I finish our presentation, and I will open for the Q&A session. Thank you very much.
Operator: [Operator Instructions] Your first question comes from the line of Vitor Tomita from Goldman Sachs. Your line is open.
Vitor Tomita: Hello, good evening, everyone and thanks for taking our questions. Two questions from our side. The first question is thinking about the preliminary ACV, since PAR tends to have lower tickets, can you give us a sense of how the number of client schools and the number – and the average ticket evolved to reach the 20% growth in ACV? And perhaps what – which brand has been typically replacing PAR since PAR is not being emphasized itself? Second question from our side would be regarding Eleva. The organic and nonorganic figures for ACV 2022, they tend to imply ACV for Eleva of BRL86 million for 2022. This is 9% below the BRL95 million figure that was initially announced for 2021. So could you give us some color on whether this was mostly related simply to dropout or if it was related to any commercial or accounting factors? Thank you.
Guilherme Melega: Hi, Vitor, this is Guilherme here. Let me address your questions. First, regarding the preliminary ACV for 2022, as we mentioned, there is almost non-PAR paper based on the number. The number is almost exclusively from traditional learning systems, complementary solutions and the digital platform for textbooks. We will give more disclosure about figures and how it is detailed later on, on the process once the campaign is finished. What I can tell you right now is that we have a much better mix from the 20% compared with the same 20% that we disclosed at the same period last year. Regarding Eleva, the preliminary ACV number that we are disclosing is year-to-date numbers. They are not full campaign numbers as it is the 20% that we disclosed on Somos organic growth. So there is yet 2 months to be performed by Eleva on the campaign and on the campaign of Somos, too. On the figure that we are disclosing, the BRL86 million, we are also already including the commercial discounts that proprietary schools on Eleva has guaranteed for the next cycle.
Mario Ghio: For the long-term contract, right, Vitor, please have in mind that we signed the 10-year contract with Eleva, and they have the right to have BRL60 million of discounts for this period, right? So we are including in the Eleva numbers the discount they have.
Vitor Tomita: Very clear. Thank you very much.
Operator: Your next question comes from the line of Vinicius Figueiredo from Itau. Your line is open.
Vinicius Figueiredo: Hi, guys. Good evening. It’s Itau actually. Thanks for taking my question. My first question is regarding PDA, if you could please comment on the increase that we have seen this quarter. Do you believe that this should be a more specific event of this quarter? Or we should see a more conservative approach following the next quarters? Another question is regarding the subscription revenues. Where should we expect a more robust recovery in this line? Is it reasonable to assume that you should continue to look at, going forward, in the consolidated results? Thanks.
Bruno Giardino: Thank you for the question, Vinicius. This is Giardino speaking here. Regarding the first question, we have observed during – since the beginning of the pandemic the needs of increasing provisions because our clients are in trouble because of all the situation our business is leaving. So we have to be more permissible with the payments, right? So that makes us – that brings the need for increasing provisions. That’s why you’re seeing – we have seen higher provisions for doubtful accounts during this period, right? We have a particular issue with some of the participants related to the textbook chain. This has pressured our numbers as well, right. And when we look forward, we think that there is no reason for our provision for doubtful accounts do not return to historical levels, which has been around 1% of net revenue. We just don’t know if we will be able to be back to these levels in 2022 already, alright. Maybe 2022 will be an accommodation year, right. But for sure, we are leaving maybe the worst period of our history in terms of collection of receivables, right. This is clearly related to the pandemic, as I told you. And we may start to see a normalization of these levels already in 2022, alright. I will pass the word to Melega, which we will respond to the second question.
Guilherme Melega: Hi, Vinicius. Thank you for your question. So, regarding non-subscription revenues, what we faced in 2021 for us is a total outlier for the trend of this market. This is still a challenging market, especially due to the spot textbooks market. But we do not expect anything – any new drop higher than a single-digit level for the next quarter.
Mario Ghio: For the next commercial side.
Guilherme Melega: For the next commercial side.
Mario Ghio: To be clear.
Guilherme Melega: Yes, that’s it. Sorry. Thank you.
Operator: [Operator Instructions] Your next question comes from the line of Andres Coello from Scotiabank. Your line is open.
Andres Coello: Yes. Thank you for taking my question. I have a couple of questions, please. The first one is on your costs, what you are seeing for your cost structure next year given inflationary pressures, inflation in Brazil. So, just wondering, obviously, your ACV bookings were very attractive, right, with – including a level over 30% year-over-year. But I was wondering how you are expecting your cost structure to evolve. That’s my first question. If I may follow-up with a couple of additional ones?
Guilherme Melega: Alright. Thank you for the question, Andres. We do not expect the inflation to be a concern for next year. As you are going to see when we update the ACV figures, we are growing ACV in terms of prices as well. So, we have – we are benefiting for this inflation in our top line. That’s one thing. Second thing is we do not see strong pressures in our cost lines that are linked to inflation. Situation is quite under control. And also, most of our costs are – and some of the fixed expenses have a fixed nature, right? So, we have a strong operating leverage, bonds, revenue goes up, and it will probably be with this ACV, we are announcing today, still preliminary, right. So, inflation is something that concerns every management of every company in Brazil. But we can say that it’s not a big concern to us in 2022, alright.
Andres Coello: Alright. Thank you. Second question on Slide #12, you are showing that the number of partner schools will grow to 5,383. I am just wondering if that number includes the schools from Eleva, number one. And number two if that includes complementary solutions, schools subscribing to complementary solutions, if this is just for the core content excluding complementary solutions?
Mario Ghio: Hi Andres, this is Ghio speaking. The number in the chart is the number of schools, including all of the schools that came in with Eleva, right with the acquisition of Eleva and also the number of schools we have gained from the market in this year-to-date commercial campaign, right. So, combining the number of schools with Eleva and the number of schools that we signed new contract with them, we have almost 5,400 schools. And as Melega said, we still have two months to go in this commercial campaign, right. Usually, this number represents schools using the core products, and some of them are also used in our complementary solutions, right. So, I don’t have the exact number here, but around 10% to 12% of our schools, they also have a complementary contract regarding to complementary solutions, right. So – but mostly in the chart, you can see the core solutions contract.
Andres Coello: Thank you very much. I have one last question, please, if I may. There is some concern that after the very dramatic drop in the share price of Vasta, you could take the company private, right, or that you can delist the company. So, I am wondering if you could just comment on that possibility, whether you see that happening, or is that something we should completely discard in the – in coming months?
Guilherme Melega: Andres, although we do not agree with the level of prices we see in the screen today, we – this conversation doesn’t exist here at – neither in Vasta nor at Cogna.
Mario Ghio: Yes. Fully agree, Andres. We are working hard here to deliver value for everybody, our shareholders and also our controlling shareholder.
Andres Coello: Okay, very clear. And congratulations for the strong ACV bookings.
Guilherme Melega: Thank you, Andres.
Operator: Your next question comes from the line of Vitor Tomita from Goldman Sachs. Your line is open.
Vitor Tomita: Hi. Thanks for taking all the questions from us. Just a quick one, if you could give us some more color on how the commercial strategy for scaling up the B2B2C platform will be and thinking about the tutoring and the rest of the platform. And if you – also a clarification if the preliminary 2022, ACV includes any estimated contribution from the platform? Thank you.
Mario Ghio: Yes. Thanks, Vitor. This is Ghio. Basically, the marketing we do for reaching the B2B2C students, right, because our – at the end of the day, these students are hiring a private class, or families are hiring an adaptive self-paced study program, right, through Plurall Adapta. So, we are showing the products in the Plurall, right. So, everything is integrated in our – in Plurall. That means that when the student is using Plurall for homework and so on, they can see that is this button available named Plurall My Teacher and also Plurall Adapta, right. So, the first step is to make available for all the students from the secondary education on, okay. We are not offering this kind of products for, I would say, primary education and preschool, okay, only for secondary and high school. And the second step, we have an inside sales team making this – making clear what is the product, what is the benefit for the families, what is the benefit for the teachers, right. So, it’s 100% digital campaign. We like to use not a kind of a push strategy, but a pull strategy that means that we allow teachers to offer some classes – private classes for free. And then students can have this trial, and after that, they can start paying for the next classes. And the same concept is behind the marketing for the adaptive program, right. Vitor, we do not consider that the revenues coming from B2B2C is subscription, right. So, regarding the last part of your question, the answer is zero, right. We do not consider that any kind of revenues coming from the B2B2C strategy is ACV or will be in the ACV, okay. When this kind of revenues are relevant, probably we will show in our release that that is a line for digital revenues coming from B2B2C, right, but we will never include that in the ACV building, alright?
Vitor Tomita: Very clear. Thank you very much.
Operator: There are no more questions at this time. Presenters, you may continue.
Bruno Giardino: Well, so again, thank you very much for being with us today. We are available for questions after this call through our IR department represented by myself. So, good evening everyone and thank you again.
Operator: Ladies and gentlemen, this concludes today’s conference call. Thank you for your participation. You may now disconnect.